Operator: Good morning and thank you for waiting. Welcome to Braskem's Earnings Conference Call. We will discuss the Third Quarter of 2024. With us here today we have Mr. Roberto Bischoff, Braskem's CEO, Mr. Pedro Freitas, CFO of Braskem, and Ms. Rosana Avolio, Investor Relations, Strategic Planning and Corporate Market Intelligence Director. We inform you that this event is being recorded. The presentation will be held in Portuguese with simultaneous translation into English. All participants can choose which language to listen to and see the presentation in using these show captions and view options button inside the interpretation mode. After Braskem's presentation, we will begin the Q&A session. At that point, more instructions will be provided. The audio of this event will be available on the Investor Relations website after it ends. We remind you that participants will be able to submit questions for Braskem, which will be answered after the end of the conference by the IR department. Before proceeding, we'd like to clarify that any statements that may be made during this conference call regarding Braskem's business prospects, projections, operational and financial goals constitute beliefs and assumptions of the company's management as well as information currently available to Braskem. Future considerations are not a guarantee of performance and involve risks, uncertainties and assumptions as they refer to future events and, therefore, depend on circumstances that may or may not occur. Investors and analysts should understand that general conditions, industry conditions, and other operational factors may affect Braskem's future results and may lead to results that differ materially from those expressed in such future conditions. Now I will pass the conference over to Rosana Avolio, Investor Relations, Strategic Planning and Corporate Market Intelligence Director. Ms. Avolio, you may begin your presentation.
Rosana Avolio: Hello, ladies and gentlemen. Thank you for participating in Braskem's earnings call. Today, we will present the results for the third quarter of 2024. According to the agenda on Slide 3, we will begin with the company's main financial highlights for the period, which can be found on Slide number 4. In the third quarter of 2024, the petrochemical scenario continued to show a trajectory of increasing spreads in the international market. This trajectory is mainly explained by the better balance between global supply and demand associated with the effects of the conflict in the Red Sea that still impact global logistics, resulting in higher maritime freight rates and, therefore, higher prices in the international market. In addition, scheduled and unscheduled shutdowns in several regions impacted the level of supply, contributing to the increase in spreads in the international market. In this scenario, combined with the company's continued implementation of financial preservation initiatives, recurring EBITDA was $432 million, 35% higher than in the second quarter and 130% higher when compared to the third quarter of last year. Operating cash generation was $75 million in the period while recurring cash generation resulted in a consumption of $199 million mainly due to the higher concentration of interest payments on debt securities issued in the international market which were partially offset by the receipt of approximately R$208 million riyals in relation to the conclusion of the sale of control of Cetrel. Regarding liquidity, Braskem cash position was $2.4 billion at the end quarter, sufficient to cover debt maturities in the next 52 months without considering the available international revolving credit line in the amount of $1 billion. In the quarter, the corporate debt profile remained very elongated with an average maturity of about 11 years and with more than 65% of the corporate debt maturing as of 2030. Due to the better recurring EBITDA, the company's leverage was approximately 5.76 times, a reduction of 1.03 times compared to the previous quarter. Throughout the third quarter the company continued to implement initiatives focused on resilience and financial health with a positive impact of about $212 million in EBITDA and about $279 million in cash generation which has been fundamental for facing the petrochemicals low cycle. Moving on to the next slide, I will comment on the company's main operating results in the quarter. In the first nine months of 2024, the average global accident frequency rate was 0.99 [sic] events per million hours worked, a reduction of 17% compared to the same period in 2023, evidencing the non-negotiable commitment that the company has with the safety of its members and of its operations. Regarding operational performance, the resumption of operations at the petrochemical plant of Rio Grande do Su after the extreme weather event that occurred in May was fundamental for the increased U2 utilization rates of the Brazil segment in the quarter, highlighting the increase of 60 percentage points in the utilization rate of green ethylene. In the United States and Europe segment, the lower production in the segment is explained by the maintenance shutdown at the propylene plant in Europe which was partially offset by the increased level of production in the United States. In Mexico, the stoppage at one of the polyethylene plants associated with the lower ethane receipts due to the international suppliers' turnaround contributed to a reduction of 5 percentage points in the utilization rate in the quarter when compared to the previous quarter. Finally, the higher utilization rates of the Brazil segment contributed to a higher sales volume in the period, with emphasis on the sales of resins and the main chemicals in the Brazilian market and total green polyethylene. Now let's move on to the next slide. I will now present the operational performance of the company segments starting with the Brazil segment on Slide number 7. The utilization rate of Brazilian petrochemical plants increased by 2 percentage points compared to the previous quarter, mainly due to the resumption of operations at the Triunfo petrochemical complex in the Rio Grande do Su, interrupted in May due to the extreme weather event that hit the state. Sales volume increased by 6% in the Brazilian market, mainly due to the higher sales volume of polypropylene due to the higher demand from the hygiene and cleaning sectors. In addition, due to greater commercial opportunities in the civil construction and sanitation sectors, there was an increase in the volume of PVC sales. Regarding the result, the segment's recurring EBITDA was $335 million in the quarter, an increase of 45% when compared to the previous quarter. The result was positively impacted by the higher sales volume and the higher spreads in the international market, in addition to the depreciation of the average real of the period against the dollar since the segment's revenues are linked to the international references in dollars, while part of its cost structure is in reals. Now let's move on to the next slide. Regarding green ethylene, it's important to highlight the utilization rate in the quarter, which reached 95%, an increase of 60 percentage points compared to the second quarter of 2024, which was impacted by the scheduled shutdown due to the extreme weather event that hit the State of Rio Grande do Su in the period. In the sense, the volume of sales of green polyethylene increased by 6%, explained by the higher production and partially offset by the recomposition of inventories in the period. Next slide. In the United States and Europe segment, utilization rates in the last quarter was lower in relation to the second quarter of 2024 by 2 percentage points, mainly due to the scheduled shutdowns at the plants in Europe, partially offset by the production in the United States. As for sales, the volume traded remained in line with the previous quarter, considering higher polypropylene spreads in Europe and in line spreads in the United States. In this scenario, the segment's recurring EBITDA was $71 million, 53% higher than in the second quarter of 2024. Now let's move on to the next slide and I will comment on the Mexico segment. In Mexico, the utilization rate was 74%, 4 percentage points lower than that in the last quarter, impacted by the shutdown of the international ethane supplier program and also the scheduled shutdown of a polyethylene plant during the third quarter of 2024. Sales decreased by 11% compared to the last quarter due to the inventory management in the transformation chain associated with a greater supply of polyethylene producers in the region and the expectation of a reduction in polyethylene prices in the international market in the following periods. On the other hand, the increase of polyethylene spreads in the international market associated with a higher consumption of domestic feedstock in the period boosted the result of the third quarter of 2024. In this context, recurring EBITDA was $80 million, 44% higher than the result reported in the second quarter of 2024. Next, starting from Slide 11, I will share the company's consolidated financial performance. In the third quarter of 2024, Braskem's recurring EBITDA was $432 million, an increase of 35% compared to the second quarter of 2024. It's worth noting that this is the company's best quarterly EBITDA since the second quarter of 2022. In addition, in the nine months of the year, the company's recurring EBITDA increased by 84% compared to the same period in 2023. The higher spreads in the international market positively impacted this result, with emphasis on polyethylene in Brazil and Mexico, PVC in Brazil, and polypropylene in Europe. This increase in spreads can be explained by the greater balance between global supply and demand in the period and by conjunctural factors such as the logistic restrictions resulting from the conflict in the Red Sea, which influenced the price of resins in the international market. In addition, the lower price of feedstock such as naphtha and ethane also contributed to this result. Finally, the increase in sales volume in the Brazilian market and exports from the Brazil segment also contributed positively to the increase in EBITDA in the quarter. Now let's move on to the next slide. Operating cash generation was R$416 million in the quarter. This result is mainly explained by the higher recurring EBITDA in the quarter, which was offset by the negative variation in working capital due to the higher inventory of feedstock in the period and the lower number of days of accounts payable explained by the drop in the price of naphtha in the international market. The recurring cash flow resulted in a consumption of approximately R$1.1 billion due to the lower operating cash generation and the higher interest payment explained by the semiannual payments of debt securities issued in the international market by the company, which are concentrated in the first and third quarters of the year. Additionally, in the third quarter of 2024, Braskem concluded the sales of control of Cetrel for a total of approximately R$293 million of which approximately R$208 million were received in the quarter. Finally, considering the disbursement related to Alagoas, cash consumption totaled about R$1.9 billion reals in the third quarter of the year. Now let's move on to the next slide. At the end of the quarter, Braskem's debt profile remained elongated with an average debt term of about 11 years, with 65% of the debt being concentrated as of 2030. The company's liquidity level is sufficient to cover its obligations for the next 52 months. At the end of the quarter, corporate leverage was 5.76 times, a reduction compared to the previous quarter due to the better EBITDA recorded in the period. In addition, it's important to highlight the issuance carried out by the company in the capital market in October the new bond in the amount of $850 million matures in 2034 with a cost of 8% per year. The operation was issued to the purchase of hybrid bonds maturing in 2081 and increasing liquidity for the debt maturities for '24 and '25. Now on Slide 14, I will comment on the main advances in the work fronts in Alagoas starting from Slide 15 regarding the plan for closing and monitoring the salt cavities. By the end of the third quarter, 16 cavities were allocated to the sand filling group. Following the recommendation of specialists, the decision was made to fill with sand three cavities previously planned to be closed by plugging. These are cavities 9, 12 and 16. By the end of September of this group, six cavities are fully filled while three are in progress and seven are in the activity planning phase. The natural filling group has a total of six cavities, five of which are completely filled and one cavity is in the validation phase of filling. Finally, of the 13 cavities that are in the buffering and pressurization group, nine are already pressurized and are being monitored while the pressurization of the remaining 4 is in progress. For this front, R$4.3 billion have already been provisioned so far, of which R$2.9 billion have already been dispersed and R$1.5 billion are in balance at the end of the third quarter of 2024. The current closure plan is estimated to be completed by the end of 2026. Moving on to the next slide. Regarding the progress of social and urban measures, of the 11 urban mobility projects planned, five have already been completed. Regarding the actions in unoccupied areas, the project on the Mutange Slope reached about 82% of execution by the end of July together with a Flexais agreement, the financial support program reached about 99.4% of the proposals paid, while 14 of the 23 socioeconomic measures provided for in the terms of agreement have already been implemented. By the end of September 2024, the percentage of execution of the residents' reallocation program reached 99.8%. As for the proposals related to the financial compensation and reallocation support program, more than 99.9% of the estimated proposals have already been submitted and about 98.7% have already been accepted and about 97.8% have already been paid. Thus, at the end of September 2024, the total provisions for the Alagoas event were about R$16.3 billion, of which about R$11.5 billion have already been disbursed and approximately R$715 million was recorded in other obligations to be paid. In addition, approximately R$600 million were recorded in the present value adjustment and, finally, the total balance provisioned at the end of the third quarter of 2020 was of R$4.8 billion reals. Now let's move on to the next slide. Below we will present the operating outlook for the next quarter. As for the company's operations, maintenance shutdowns scheduled for the next quarter in polyethylene and PVC plants may directly affect the use of ethylene. Thus, a lower utilization rate is expected in the Brazil segment. Regarding sales, the prospect of lower demand due to the typical seasonality of the period contributes to the expectation of lower sales volume for the quarter. In the United States and Europe segment, utilization rates are expected to be in line with the previous quarter due to the production management in the United States, which is in line with the lower demand expected in the period and partially offset by the higher utilization rate of the Europe segment explained by the resumption of operations after maintenance shutdowns. In this line, it's expected that the sales volume of the segment will remain in line with the previous one. Finally, in Mexico, the expectation for the third quarter is for an increase in production due to the expectation of stabilization of ethane supply due to the return of the international supplier after a maintenance shutdown in the third quarter, and also the return of polyethylene plant that was under maintenance in the third quarter of 2024. Regarding sales, the higher product availability compared to the previous quarter and associated with expectation of lower demand in the period will result in a perspective of maintaining the volume sowed. Below I will comment on the perspective of international spreads. In general, the expectation for the next quarter is for lower spreads in the international petrochemical market due to the seasonality of the period followed by recovery in the first quarter of 2025. Regarding the polyethylene market in the United States, the seasonality of demand associated with greater availability of the product due to the resumption of the production in the petrochemical plant in the United States influence lower prices in the next quarter. As for the price of naphtha, the expectation is for its maintenance resulting in lower spreads in the period. In the United States and Europe segment, polypropylene should also be impacted by the lower demand typical of the period. In the United States, PP supply is expected to increase due to the resumption of petrochemical plants that were under maintenance which could lead to a drop in prices. On the other hand, an increase in the price of propylene is expected caused by the start of the scheduled shutdown season on propane dehydrogenerators in the United States which contributes to lower spreads. In Europe, the higher supply of polypropylene expected with highest import inflow into the region may also contribute to lower spreads. Regarding polyethylene spreads in Mexico, in addition to the prospect of lower prices of polyethylene, a gradual recovery of the prices of ethane is expected due to the return of operations in the petrochemical plants that were under maintenance and the gradual increase in export capacity from the United States. For the beginning of 2025, demand is expected to return to healthy levels while the cost of feedstocks such as naphtha and Ethane will remain at the same levels as that of the end of 2024 contributing to higher spreads in the first quarter of 2025. Now let's move on to the next slide. As a last topic, I will comment on the main advances in the company's strategy as of Slide 21. The implementation of the long-term corporate strategy continued to advance throughout the quarter. On the avenue of growth of the traditional business, the launch of Braskem's first leasing ship took place. The Brilliant Future ship is in the final stages of construction and will enter service in January 2025. The dedicated logistics with an estimated duration of 15 years will be used in the transport of Ethane from the United States to Mexico, ensuring stability for Braskem Idesa. Also on this avenue, the construction of Ethane port terminal in Mexico reached a physical progress of 85%, representing important advance towards the completion of the project. Regarding bio-based avenue, an important highlight was the inauguration of the Center for Innovation in Renewables in the United States, located in Lexington in the Boston Biotechnology and Innovation Ecosystem. Through an investment of approximately $20 million, this new center expands Braskem's capacity in research and development in the areas of biotechnology, catalysis, and process engineering. In the same period, Braskem Siam signed the Feed agreement with Toyo Engineering Corporation which will develop the extended basic engineering and CapEx estimate for the potential construction of green ethylene of 200,000 tons in Thailand. Finally, in the Recycling avenue, Braskem has been recognized for its performance on sustainability and circularity, being ranked second in Bloomberg's NEF 2024 ranking of circular economy for the second consecutive year. This ranking evaluated the circular economy objectives of 40 companies including 20 brand owners and 20 plastic producers. In the next slides, I will comment on the progress of the company's 2024 priorities. Among the priorities defined for the year 2024, the commitment with resilience and financial health continued to advance, totaling at the end of the third quarter approximately $51 million in a positive impact on EBITDA due to the commercial strategy of prioritizing sales with better margins and $76 million through cost reduction and expense reduction actions. In addition, we captured about $220 million through the prioritization of CapEx initiatives and about $59 million with the optimization of working capital. Finally, $85 million were obtained through the various monetization agenda. Now let's move on to the next slide. The defense of competitiveness of the Brazilian chemical and petrochemical industry is an important agenda of the company, which is the sixth largest chemical industry in the world, responsible for 11% of the Brazilian industrial GDP and capable of generating about 2 million direct and indirect jobs in the country. Despite its importance, based on 2023 data from the Financial Chemical Industry Association, it's observed that the average utilization sector reached the lowest rate in 18 years, continuously reducing over the period. In this scenario, we highlight the approval of temporary change in the import rate in Brazil for the chemical and petrochemical products by Camex, including the increase of 12.6% to 20% for polyethylene, polypropylene and PVC produced by the company. This approval represented an important step towards defending the competence effectiveness of the Brazilian industry and will result in positive impacts for the chemical and petrochemical industry. Now moving on to the next slide. Finally, we will update on the main advances of the priorities for the year. In Maceió, progress was made on all work fronts. Totally disbursed balance of more than R$11.5 billion by the end of the third quarter of 2024. As previously mentioned, the financial resilience action totaled a positive impact of about $212 million in EBITDA and about $279 million in cash generation. In the optimization of the asset operation strategy, the process of sale of control of Cetrel was concluded through the receipt of approximately R$208 million of the R$293 million related to the investment agreement signed with Solvi and GRI. In the quarter, the approval of the increase in the import rate in Brazil for some chemical and petrochemical products by Camex represented an important advance in the agenda to defend the competitiveness of the Brazilian chemical industry. Regarding the company's investment strategy, the inauguration of the Renewables Innovation Center in the United States is an important step forward for the bio-based growth avenue, contributing to the development and acceleration of new solutions. Additionally, signing between Braskem Siam and Toyo Engineering for the feeds execution of the construction project for the green ethylene is also an important step in the company's growth trajectory. Finally, in Mexico, we maintained our efforts to complete the construction of the ethane terminal, achieving a fiscal progress of 87%. Now let's move on to the final slide. Before we close, I would like to invite everyone to participate in Braskem's Day 2024, an important moment of interaction between the markets and the company's main leaders. The event will be completely virtual and will take place on November 25th. We will forward the invitation with more details soon for all participants of this call and subscribers to our mailing list. Thus, we conclude the presentation of Braskem's results for the third quarter of 2024. Thank you very much for your attention, and we will now start the Q&A session. I would now like to pass the floor to Mr. Roberto Bischoff. Please, Mr. Bischoff, you may proceed.
Roberto Bischoff: Hi. Sorry about that. Sorry about that. Good morning everyone. Before we move on to the Q&A session, I'd like to make a few comments about my leaving the CEO position at Braskem. This is part of a structured succession project that was discussed and aligned with the controlling shareholders of Braskem during my trajectory of over 40 years at Braskem. I am leaving now very fulfilled and happy with how the company has been performing and delivering, especially over the past two years when I had the pleasure of being in charge. And so I would like to thank our shareholders and our clients for the trust that you have in me. And I'd also like to thank our company members, partners and suppliers for your skill and trust in tackling this downtrend cycle. Now let's actually move on to the Q&A session.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Rodrigo Almeida with Santander. You may proceed, sir.
Rodrigo Almeida: Good morning. I have three questions. First is working capital. We saw a significant increase during the quarter and stocks of inputs. Could you tell us whether this is set to normalize in the next quarter? The next question is about the scheduled downtime for 2025. Is this likely to make the '25 CapEx at least a little bit higher than the guidance that was indicated for this year? And thirdly, are you already seeing any kind of an effect in the increase to import tariffs? I think this was mentioned, but if you could comment a little bit about that, I would appreciate it. Thank you.
Pedro Freitas: Hi. Good morning. Thank you, Rodrigo, for your question. So working capital, it was primarily in inputs. We had a reduction in our payment deadline, our payment term, and also an increase in price and volume. So this did consume a little bit more of working capital. There was also a specific effect from a naphtha load that came in this year. I think at the end of the day, the thing is, working capital does normalize. We do not have any forecast for an increase. In fact, for Q4, there may be a drop, in other words, generation of cash based on working capital because our spread is going to be lower. We've got a little bit of downtime scheduled for Q4, so our working capital is going to be a little bit better. With regard to the scheduled downtime, we've got next year, we've got Braskem Idesa doing its first downtime after nine years in operation, which is a huge accomplishment by Braskem Idesa to keep working nonstop for so long, especially for the past six years with a highlight during that time. We've done something similar here in Brazil as well extending our downtime, our period between downtimes that was we, we managed to get a significant improvement. Also the Duque de Caxias plant is also going to have a little bit of downtime next year. So these are the two that we've got scheduled. With regard to the '25 CapEx, we don't have a number yet. All of the maintenance CapEx should be in line with what we had this year. There may be some variance up or down. I don't think the number is going to be very different from what we had in '24. We're always prioritizing safe investments and investments into safety as well. And we've also got a little bit of strategic CapEx. But the top project in the queue is the Thailand project. We don't think we're going to make a decision about investments at least during the first semester, first half of the year. So we have so far as just engineering, it's a small investment, and after that closer to the middle of '25 when we will make decisions about the investment into that project. And again this investment that's going to be in line with this year, we don't consider Braskem Idesa because Braskem Idesa has scheduled downtime for next year. So if you do look at the raw numbers, it's going to be a little bit different. Usually it's around $30 billion and for this year it's probably going to double. With regard to import, to use import tariffs, we have some work that we've been doing to revisit that balance between the margin service price and volume. So we are doing that product by product. For this year, we believe that between recovering market share and perhaps some kind of an effect from the margin direction, we have some $30 additional million in our results for Q4 2024. For last year, well, we have 3 additional quarters of impact and then we'll see what happens. There's another effect that I think is important in the import fees because many of our clients also had changes to their import taxes. So that brings an important effect in terms of sale volume. So our volume for our clients should recover, which is also going to have an impact on our centers. This is an effect that we think we will be seeing in Q4 next year. It's an indirect event. We cannot quantify to what extent exactly numerically it's going to occur, but it is something that is in our radar. Perfect. Thank you, Rodrigo.
Operator: Our next question comes from Vicente Falanga with Bradesco BBI. You may proceed, sir.
Vicente Falanga: Hi. Thanks. Thank you, Roberto, for your work and your message. Thank you. Rosanna. I have a question. In the outlook you gave us, you mentioned the expected downturn for next year, expected reduction in volume. What is that likely to occur with result to the lower foreign exchange rate for Q4?
Pedro Freitas: Hi, Vicente. Well, we can't provide guidance, so I will make some qualitative comments. Q4 is normally a quarter with lower seasonality. So this gives us a marginal and a reduction in margin and spreads, but also in volume as a result of seasonality. And as for import rates, there's a partial compensation. I don't think it's going to completely offset that seasonal variance. On the other hand, foreign exchange rates do help. What we believe here is approximately $0.01 is approximately $3 million to $4 million of EBITDA when we look at annual. Today, the exchange rate is dropping again. But if we're talking about $0.20 over the year, that means $60 million to $80 million additional EBITDA. So if you look at a quarterly rate, that $0.20 will be worth approximately $15 million to $20 million in EBITDA. So I see a positive impact from this issue both in terms of the import rates, market share recovery and also foreign exchange rate, which is measured in some tens of millions of dollars, all combined. But there's also a counter force in reducing international spreads and the volume and seasonality. So the net result is that usually Q4 is worse than Q3. All in all, I think this is likely to remain the case. Now, in terms of cash flow, there is a working capital that we mentioned. We expect that it will recover a little bit or at least remain stable. We do not have interest repayment that we had in our previous quarter. So we've also got an impact there, an impact on cash flow that I would say is materially positive considering those two effects.
Vicente Falanga: And just very quickly, we had a forecast that lots of PP would come in during the new year. Do you see that happening? Is there a lot coming in or are you holding down?
Pedro Freitas: I will pass to Rosanna, Vicente.
Rosana Avolio: Hello, Vicente, thank you for the question. Just to give you an outlook of the fourth quarter and this is what is expected to happen. There is the seasonality of the period to consider. But if we observe the third quarter, it was a quarter from the global viewpoint with scheduled and unscheduled maintenance stoppages. At the regional level, we see concentrations of planned maintenance stoppages as we saw in the third quarter. But what we see for the fourth quarter is way back to scheduled and scheduled stoppages. Lower demand that already puts pressure on spreads. And when you talk about polypropylene, we saw propylene coming into the business along the year. If I compare the deficit and the increase of demand, we can see there is a higher offer than the demand that we had in 2025, but much lower than what we reported in the previous year. And that shows this spread positive trajectory that you have been monitoring very closely. So polypropylene is going to come coming in. I see a change in the polyethylene because polyethylene we have observed a deficit in terms of growth demand because demand was higher than offer. So we see two plants in Asia that are going to startup during the year. So we have seen that this startup has delayed. So in our assumptions, we consider that they are going to come into the production and into the results up to the end of the year. And this is likely to lead to a better spread until the end of the year.
Operator: Our next question comes from Tasso Vasconcellos with UBS. You may proceed, sir.
Tasso Vasconcellos: Hi folks, good morning. Thanks for the question and, Roberto, thanks for the message. Bischoff, I'd like to ask a follow up. What would you say have been the biggest challenges over your time at Braskem, and especially during these past two years as CEO, what do you maybe wish you had done but couldn't? And what would you say are the primary challenges that the next CEO is going to have? Next, after the import fees here in Brazil, do you see any room or any space to talk about the rake for the next few years?
Roberto Bischoff: Hi, Tasso. Thanks for the questions. The major challenge of these two years was without a doubt facing a downward cycle of this magnitude, preparing the company to continue to generate results without neglecting strategies in the company's long-term strategy linked to renewables and the circular economy. So it is a very delicate balance, specifically linked to operating conditions in a downward cycle that is different from the past several years. So that was a significant challenge. There's also another significant challenge which was bringing the chemical industry agenda to the national agenda. It's an important industry with a distinguished impact in the Brazilian economy. It generates employment, it plays a significant role in Brazil's industrial GDP. So bringing that importance to the awareness of the government, the administration at this time create conditions to somehow defend this sector and also to think in the long-term about industrial policies in a way that is able to reposition this industry, the sector to where it really should occupy so that it can continue to generate long-term sustainable results. With regard to the possibility of any change to the REIQ, ABIQUIM has been working and so has Braskem toward the need to create industrial policies and conditions to re allow the industry to reposition itself. We believe that there is a mechanism that already exists and has already been approved and that is the REIQ, the REIQ. And we are working with the government to raise awareness among the government, among the members of government, so that this incentive, the REIQ incentive, can be in some way expanded to be of more benefit to the sector and reach that repositioning that I mentioned. Now, as for future challenges, certainly remaining within this cycle of adaptation and balancing, doing the fine balancing of these different levers and allowing Braskem to really leverage its power, we've got a significant highlight around the world in terms of renewables. So finding the right balance between cash and capital and investments, not just in terms of operations, but also in strategy for the future.
Tasso Vasconcellos: That was very clear. Thank you, Bischoff, I wish you all the best.
Roberto Bischoff: Thank you.
Pedro Freitas: Now, Tasso, with regard to actions after the import taxes, the import taxes are an important measure and we are thankful for the government and the Ministry of Development, Industry and Commerce Vice President Alckmin, who worked extensively in this front. But it is a temporary measure. So we remain, through ABIQUIM, involved in dialogue. And that includes looking at a more structural discussion in touching on the Brazilian industries. And we see many countries incentivizing their companies, including in the chemical industry. You see this in Germany, across Asia, in Japan. In the U.S., we've got the IRA which includes the chemical industry. So we have many different countries around the world that are offering this type of incentive. And here in Brazil we have been involved in discussions with the government. Actually ABIQUIM has been developing a plan. It is now starting to be discussed with the government in the line of offering incentives, tax credits for companies in the chemical sector that are involved with energy transition, innovation, technology. And in our case, we look at also look at the conversion to renewable chemistry. Of course, a program such as this takes a while to be implemented. So in the shorter term we want to re recover the REIQ. When the REIQ was created, the credit presumed credit was 8.25% of the cost of input. Today this credit is at 0.73%. So we have been requesting the REIQ credit to be resumed at the same downward cycle it was -- sorry, at the same level it was during the last downward cycle in approximately 2014. So we want ultimately to bring renewed investment to competitivity. For us, a significant one could be investing in the Rio de Janeiro center to maybe expand or even double our capacity at the center in Rio. It's a gas-based center, it's very competitive that would be an important step for us to take. So that would be an important incentive for us, an important investment. There's also another agenda also ongoing, which is gas as input. Not just overall, because it is important for the whole sector, but for us it's especially important for our gas-based centers. We have that in Rio, in Bahia as well. They can also consume ethane as Rio can. So this regulation of natural gas, we work with the ANP, we work with Petrobras as well to increase the availability of gas and to allow ethane to be extracted from that gas. That's also part of the agenda I mentioned. So we've got a structural program that includes recovering, resuming REIQ at its previously high level. Then there's the raw input agenda, ethane and a tool that exists around the world in many countries, which is anti-dumping. We've got anti-dumping against PVC coming from the U.S. and in partnership with Unipar, we asked them to review the level of the remedies, the anti-dumping rate remedies that is applied because it is currently insufficient in the face of the scope of the dumping that has been occurring. And we continue to monitor other products as well, to potentially request that they be added to anti-dumping measures as well. So we've got those discussions with the government, a more perennial permanent program, as well as gas and ethane, which is also going to last in the long-term, and anti-dumping if we successfully obtain any measures. Those run for five years each. So that is also going to defend our industry's competitiveness.
Tasso Vasconcellos: Amazing. Thank you, Pedro. Thanks for the detail.
Operator: Our next question comes from Gabriel Barra with Citi. Gabrielle, you may proceed.
Gabriel Barra: Hi folks. Thanks for taking my questions. Pedro, Roberto, Rosana. I've got two points to mention. First, looking at a more global scope, this week we had the results of the U.S. elections. We've got some stress with regard to the Brazilian exchange rate that is depreciating the real compared to the dollar. There's also discussions on the topic of tariffs potentially being increased in the U.S. What I'd like to understand, and I'd like to ask Pedro and Rosanna to give some opinions how does this impact the scenario moving forward? And in the scenario as well, how does Braskem's position change, if at all? I think there are some mixed feelings, but I'd like to understand from you looking forward, how may this impact the company? And also my second question, back to the topic of REIQ. During the last conference call, there were some interviews showing about potentially rationalizing the capacity here in Brazil, depending on how that discussion with regard to import taxes would proceed. So is that discussion still on the docket? Do we still have any kind of outlook in that sense for Braskem now, looking at the current scenario that may perhaps have more be more protectionist, looking at a global market share as well, what do you see looking forward? Thank you.
Roberto Bischoff: Hi, Gabriel, thanks for your questions. Truthfully, we don't yet have a fully comprehensive understanding of the U.S. elections. It really depends on what the administration implements. We know that campaigning is one thing and administration is another. But as far as protectionism goes in the U.S., we see on the one hand very interesting potential for our U.S.-based operations. The polypropylene we produce there is important for a segment that represents a significant share of their business, which is the automotive industry in the U.S. So if the U.S. government implements barriers against importing vehicles from other countries such as China, and that has an impact on increasing the U.S. auto industry, then this may have a significant improvement to our dealings there. This is a result that can potentially happen in the shorter term if those tariffs are actually placed. So we see a potential positive impact coming from a potential protectionist policy. Another aspect to this has to do with how Brazil protects itself and organizes itself in such a scenario. Because what happens is that if the U.S. closes itself off some more, then the other countries that export to the U.S., especially China, will seek other markets. And so we may see increased aggressiveness toward the Brazilian market, not necessarily in our sector because the logistics are difficult. China's very far from Brazil. But this may have an indirect effect in finished product. And so this, I wouldn't say destructure, but it may weaken partly and it may have a measurable negative impact, but it's like you said, mixed feelings. So it reinforces the need for the Brazilian government to adopt defense of competitiveness measures to protect the Brazilian economy. So this links with your second question, right, which was regarding the reduction in capacity and what kinds of effects this could have in Brazil. We continue to study the rationalization of capacity that was mentioned previously. We don't have a decision at the moment. This is strongly linked with what the government may place in terms of measures in that agenda. Depending on what the government implements, we may need to protect our capacity, or depending on what the government does, we may not have a lack of competitiveness scenario. So this could or could not lead to the partial closure of some of our capacity. Obviously not all of it, of course. So we are working with many different scenarios. We have a huge analysis chain that we are currently studying in order to have a consolidated vision to make decisions. I do not think we will have any decisions before the end of the year. This is certainly a decision that will be made next year. So I think that's the key.
Pedro Freitas: There are two other points I would mention to give a little bit more context. One, you asked about the forex. Of course, a depreciated forex is better for us. You said maybe $0.15 to $0.20 depreciation. For us, $0.01 is approximately $3 million to $4 million in value looking at a yearly average. So you see that this could have a positive impact to our EBITDA, which is certainly something that is relevant. And another important point, something that I think is interesting as well, is we have a project to produce green polypropylene in the U.S. And if the U.S. turns its gaze inward, they could potentially accelerate this investment project. And this would bring a new product to the world.
Gabriel Barra: That's very interesting, Pedro. Thank you.
Operator: Our next question comes from Pedro Soares with BTG Pactual. Pedro, you may proceed.
Pedro Soares: Good afternoon, Pedro. Roberto, Rosana. I have a follow up I'd like to ask about the topic of spreads. I think it was discussed extensively, especially in the very short-term for Q4. But it seems to me so far that you are being conservatively optimistic for the next year. So I'd like to ask you in a bit more detail, how can we translate that to EBITDA? I understand that you do not announce guidance, but could you discuss some effects for Q4 and perhaps analyze the results of Q3, which is I think $1.6 billion or $1.7 billion, which perhaps seems a little bit optimistic, or maybe not, I don't know? And lastly, could you comment about the potential to sell the company? And I know that this is not really within your purview, it's up to the controller. But is there anything you could share in terms of the new due diligence that is taking place? Does this topic seem to have in some way stagnated, at least in your perspective?
Rosana Avolio: Thank you, Pedro. I'm going to answer your questions about spreads. Your question was excellent. I talked a little bit about the fourth quarter. But when we see the results, we also start talking about the next year. As you can observe in the presentation, we go back to the trajectory of growing spreads and what's behind those upward spreads. It's a world that continues to grow. We see that global demand has increasing, GDP global of about 2.8% a year. This has an important correlation of the company with a global GDP. This is one variable. And on the offer, on the supply side, this has to do with uncertainties, not when we talk about the new capacities. When we see what are the capacity expected for the future, we consider China both for polyethylene and polypropylene. But when we compare it to 2022 and 2023, this is a lower supply to offer. So this justifies this growing demand. So we see that there is a resumption of all this. So it's a very important variation that is going to define the pace. Since last year we have been observing announcements from global companies which are headquartered in Asia except China, and also other companies announcing that they are going to close capacities. But when we consider our estimates and also what is provided by consulting firms, we see there's a decrease of 500. But from the economic viewpoint we believe that more capacities are going to be closed. And there is a date when we consider the financial crisis. So we are talking about supply and demand and GDP. We saw that 7% closed after the financial crisis. But closing a plant is a very important decision because it demands resources in order to make disclosure. So when we look at the global situation with some improvements, when we see that inflation indicators with a downward trend, maybe we have a more positive outlook when we see this acceleration. And how can this be transformed into EBITDA, which was the question that you asked. If we consider the spread level that we considered for next year, we may increase by 5 or 10% depending on the resin. And if I consider the market consensus of $1.3 billion, this is a consensus that is has been published even on our site. And if I add the 10%, considering that everything is constant, we would reach $1 billion and $1.5 billion. And as you said, the company does not provide a guidance. So I'm considering the spreads and this is what we do here, this EBITDA and spreads. And if we consider the spreads, we would expect a growth of about 10%. And I'm going to add what we do well, which is our management and what we control. I mentioned spreads, but it's important to mention all the initiatives of reduction of variable costs. In the past two years alone, we have this initiative and the challenge is that next year we are going to have a lower cost than this year. So in the past two years we have already captured more than $200 million in reduction, so it's very close to the number that you mentioned. I'm going to pass the floor to Pedro.
Pedro Freitas: Sure. With regard to the due diligence, we have two ongoing exchanges of information. One is PIC, a Kuwaiti company that we actually announced about. It is currently moving a little bit more slowly. Every bit of information they asked for we have provided. Sometimes they do ask us more isolated questions here and there. And Petrobras also sometimes requests additional information or some kind of context. Petrobras completed their assessment in the end of last year. So currently it's really more focused on updating information with regard to what happened in these three quarters of the year. So that's what's happening. We do not currently have any additional information with regard to negotiations what is or is not happening. We don't know what's happening when it comes to negotiations. But in regard to the due diligence, that's what we have.
Operator: Our next question comes from Leonardo Marcondes with Bank of America. Leonardo, you may proceed.
Leonardo Marcondes: Hi, good afternoon everyone. Thanks for taking my question. I have two questions. The first is about CapEx. You're currently working at a yearly basis around $240 million, which is a little bit lower if we look at your history. Where do you see the perfect maintenance CapEx? Are those 450 something that you could work at with your current operations with that kind of CapEx? So in real terms, would that be a potential perfect maintenance CapEx or should we expect that number to increase looking forward? My next question is a follow up for Pedro's question. In that scenario, with a stronger EBITDA for next year, how do you see cash generation at the company? Are you trying to keep things a little bit more constant CapEx, the Alagoas statements, working capital, it's difficult to keep it constant in a scenario where spreads are likely to improve? So I'd like to understand how you see cash flow for next year.
Pedro Freitas: Sure. Good afternoon, Leonardo. With regard to CapEx, I would say that the company's maintenance CapEx level is historically between $500 million and $600 million. And that does include scheduled downtime and other similar slowdowns and downtimes. So what we have been doing to keep our CapEx stable is we have been very selective about our assets and there are certain plants that do not need to be 100% available. Since our demand is a little bit lower, we are operating at less than 70%, 75% approximately at the 75% level. What the end result is, is that we do not need all assets fully operational all the time. Now this does not include anything that pertains to safety. Safety is always full. But when it does not come to safety, we do reduce some operating uptimes at certain points when demand is not so high. This is all based on our schedule which is created. And of course if something breaks, we rush in and change it, but we have not been performing preventive maintenance in anticipation of the occurrence of issues in assets that have been deprioritized. We have a full scale between critical, important, less important and marginal assets. So what I mentioned previously is applicable to the marginal assets. So that's one of the strategies we've been implementing for CapEx that's approximately $500 million to $600 million. It really depends on the downtime cycle. With regard to cash generation for next year, we're working on our budget right now, so I don't have a finished number for you. You can expect working cash to be consumed as a result of spreads and volume. On the other hand, we see that Alagoas has a little bit lower, a little bit less cash consumption requirements for next year. So that's one thing. And we're working with all teams to keep Braskem at a neutral cash level for next year such that we can absorb the company's obligations with regard to the EBITDA that will have been generated. So that involves contracts, fixed cost. So for the next year, the challenge we've placed for the teams is a 3% to 4% reduction compared to this year's fixed cost, which is already a reduction compared to last year's. So we've been keeping those costs at a stable reduction rate even considering inflation. Contract disputes have also led to lower costs. That's contract disputes is a field where we had an improvement. For instance, there's a $1.3 million contract where we moved in and we were able to reduce it by almost 50%. We changed the scope, we changed the way we do business, and we were able to achieve a nearly 50% reduction in that specific topic. So there are hundreds of different contract reviews such as this one. We review operating conditions as well and all of that together has led to lower costs. Also in the topic of inputs and optimizing inputs, so I expect for next year we'll have neutral cash generation, except for Alagoas, which still continues to consume cash in addition to beyond its operations. But that is a scenario we are seeking for next year.
Leonardo Marcondes: All right. That was very clear, Pedro. Thank you. Just one more follow up to get a better read. I understand that you are preparing your budget for next year here, but within the $1.5 billion EBITDA, which you did already comment on, what kind of exchange rate are you considering?
Pedro Freitas: The exchange rate we currently consider in our current version is 5.47 BRL per USD. That's a mean exchange rate.
Operator: Our next question comes from Tiago Jasquedo [ph] with Morgan Stanley. You may proceed, sir.
Unidentified Analyst: Good afternoon, folks. Thanks for taking my questions. I think most of them have actually already been addressed. I just have one more question regarding Mexico. I understand that recently there was a scheduled downtime from one of the vendors and one of your plants also. So that led to a slight reduction in utilization rate, which in Q4 is likely to improve. But I'd want to understand what is your forecast for '25? Are there any potential new stops as well? Thank you.
Pedro Freitas: Hi, Tiago. All right, Mexico, for Q4 we had Milton hurricane which did not hit our site specifically, but there were some wisps of it that did hit our site. There was a lot of rain and there was a logistics effect. So we're currently operating on fast track. That means transporting ethane through by trucks. There was a bridge that was impacted, so we had to reroute or reschedule trucks for a slight bit. In October, there was a slight change in our operations there, but it was a very specific effect. It should remain in line. That's my expectation. Something in slightly better even perhaps, but certainly aligned with Q3. Now as for 2025, we've got two things that we've got the scheduled downtime which should last a little over a month. It's usually 30 to 40 days. I don't have the precise schedule for that Mexico downtime specifically. But you may think, okay, you will lose 1/12th of production, 8% you may think so, yes. But on the other hand, we also have the terminal and the potential to operate with full loads. So when the terminal really begins operation at the end of Q1, that means we'll have three quarters at full operation. During one of them, one month will be down. So net at the year average should be approximately 85%, which is what we've been working on. And then for 2026, then yes, we will be running close to or at 100% that's our forecast.
Unidentified Analyst: Perfect, Pedro, thank you. That was very clear.
Pedro Freitas: Rosanna has reminded me here that there's an important point to be mentioned. We have two ethane ships, high capacity ones, that are being built in China. The first is already in the water. It is currently being tested, it's performing seaworthiness tests and we should receive that finished ship in January. It's scheduled for delivery for us in January. And so with that we will also increase the scale and volume of transported products. That has a significant reduction in logistics costs. So not just an increase in volume. Also, we will see a reduction in cost costs in ethane imports.
Operator: Our next question comes from Regis Cardoso with XP, Inc. You may proceed, sir.
Regis Cardoso: Good afternoon, Roberto. Pedro, Rosana. It's already quite late, so I'll ask just one question. I want to understand the cash flow equation. Thinking about Q4 and '25. If I compare with Q3 '24 Alagoas effectively is still significant in terms of cash generation. And I would even add that in spite of the disbursement, we have not yet seen a relevant reduction in the provisionment balance that we see in the report. So Pedro, could you give us an update about the Alagoas effect and impact on cash flow and the effects on the provisionment as well?
Pedro Freitas: Sure, Regis. We've got the provisionment table here in our report. You can consult that. We currently have a R$4.8 billion provisionment plus some accounts payable as well. So all in all that's approximately R$5.5 billion in balance that Braskem still needs to disperse out of that balance. In fact, we do have effects over the course of the year in terms of consumption. The cash disbursement for that provisionment over the year is going to surpass R$2 billion in a year. In this quarter, it was R$130 million. So over the year it may come out to R$3 billion all in all. Conversely, we've also got a situation that is dynamic. We recently had to bring three cavities into the sand filling group, the back filling group. So that led to a R$300 million increase. So the consumption has been occurring. Part of that has a negative compensation due to adjustments to the provisionment. Another part of that is inflation, which we do need to account for as well and compensate for. But also developments in the dynamics for that case. Looking at some previous numbers, what I can tell you is that if we look since 2020, looking at a back of the envelope average, that's R$2.5 billion in disbursement per year. So that's why out of the total R$16.5 billion provisionment, we've got the R$5.5 billion that I mentioned. So the program is moving forward. Sometimes we discover new developments and need to make adjustments. But all in all, we have been reducing uncertainties and risks significantly and the value is increasingly more and more assertive when it comes to our understanding and forecast about what that provision is. But again, this is a dynamic that we do not control and it could be that, unfortunately we may have a new adjustment. Now, as for Q4, the main points that I would highlight are for working cash, we don't forecast working cash consumption again like we did in Q3, because we had increased volume and spreads, as I mentioned. Now for Q4, that is not likely to occur. We may actually in fact restore part of that working capital. Now for the bond interest payments, we don't forecast any change there. And again, for Alagoas should remain on track. I don't see many variations to be likely. I think the main points that suggest for us that we are going to have improvement to working capital are interest rates and paid capital.
Regis Cardoso: Thanks, Pedro. Just a quick follow up. So in 2026, we should see a reduction in the importance of Alagoas disbursements on the company's bottom line, '25 end?
Pedro Freitas: Yes, that is our expectation. We think 2025 is a year where social and holistic measures are still implemented, cavity filling, among others. We're currently wrapping up the private compensations. We've signed all contracts already. There should be some residual payments still next year, but no new ones. So considering what we know today, that is our forecast, our view. It's likely or it's significantly reduced next year and should have ended by '26 and should be zero at '27.
Operator: This concludes today's question-and-answer session. I would now like to turn the floor to Mr. Roberto Bischoff for his final remarks. You may proceed, sir.
Roberto Bischoff: Hello again. First, I'd like to thank all of you for taking part in our earnings call and even more importantly, for the partnership we have built together during my past two years at the head of Braskem. Thank you all. It has been two years of significant challenge for the industry and for Braskem. We went through a very intense low cycle in the petrochemical industry, very different from other years, and we truly needed to tirelessly seek initiative to overcome the challenges that this cycle has imposed on us. In that sense, as we have been mentioning over the course of the call, I'd like to highlight the commercial efforts and efforts to reduce fixed and variable costs that all in all contributed to significant increase in almost $300 million in EBITDA, as well as multiple initiatives to optimize capital of many different types which all in all added up to approximately $400 million since last year. Some of these were highly relevant and really tackled the challenges that we have faced. We also had important advancements by the company such as our partnership with SCG Chemicals, the potential to build a plant in Thailand, the completion of the expansion of the green ethane plant in Brazil which has been proven. It is actually working past its projected capacity of 260,000 tons, and also an 87% increase, very relevant increase in the construction of the Mexican ethane import terminal. This is truly going to allow us to be more independent and competitive. I mean Braskem Idesa, of course, in the supply of its inputs, as well as an important initiative that we mentioned in opening our new technology and innovation center in Lexington, U.S. Another important effort and one which has been important and Pedro mentioned at length, has been the focus ever since I arrived in defending the Brazilian chemical industry. I have mentioned before, but I would like to highlight how important the Brazilian chemical industry is for the Brazilian economy. We create high quality jobs and significant tax revenue for the country. In the current chemical and petrochemical industry, we've seen an increase in external competition which requires the country to strengthen its chemical, petrochemical and plastics industries. This is an agenda that will remain important at least over the next year, striving to defend the industry. That's through ABIQUIM and through our actions at Braskem. Now, in the sense of everything I mentioned, I think I leave Braskem strong and prepared to face this upcoming downward cycle. That's my belief. Once again I'd like to thank all of you for the trust you place in me, and we will see each other once again on November 25th when we have our Braskem Day. Thank you all very much and have a great end of the quarter.
Operator: That concludes Braskem's video conference for today. Thank you for your participation and have a good day.